Operator: Good morning, ladies and gentlemen. This is the operator speaking. Welcome to NN Group's Analyst Conference Call on its Full Year Results. [Operator Instructions] Before handing this conference call over to Mr. David Knibbe, Chief Executive Officer of NN Group, let me first give the following statement on behalf of the company. Today's comments are based on management's current views and assumptions and involve known and unknown risks and uncertainties that could cause actual results, performance or events to differ materially from those projected in any forward-looking statements. Such forward-looking statements may include future developments in NN Group's business, expectations for the future financial performance and any other statements not involving a historical fact. Any forward-looking statements speak only as of the date they are made, and NN Group assumes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information or for any other reason. Furthermore, nothing in today's comments and -- comments constitutes an offer to sell or a solicitation or an offer to buy any securities. Reference is made to the legal information on the last page of the presentation. Good morning, Mr. Knibbe. Over to you.
David Knibbe: Yes. Thank you, operator, and good morning, everyone. Thank you for joining our conference call to discuss NN Group's performance for the full year 2025. I'm excited to be here with you today. And with me are Annemiek van Melick, our Chief Financial Officer; and Wilbert Ouburg, our Chief Risk Officer. I'll begin with an overview of the key messages and dive into the excellent commercial momentum we have witnessed in our growth segments as well as our tangible progress on our future-ready program. Next, Annemiek will give a detailed analysis of the strong progression of our capital position and financial performance over 2025. After my concluding remarks, we will move over to the Q&A. I'm excited to share that we have not only exceeded our 2025 targets, but also delivered a very strong Solvency II ratio of 220%, giving us an even stronger foundation to deliver on our future-ready growth targets. I am also pleased to see our growth segments deliver significant increases in new business values for international and a growth written premium growth of 6% in Non-life, which is now surpassing the EUR 4 billion mark for the first time. Next to this, we saw increased DC inflows of EUR 2.6 billion at Netherlands Life. These results demonstrate a continuing shift towards high-quality fee and underwriting income. And we are making meaningful progress on our Future Ready Program, where I will share some compelling AI use cases later. And finally, on the back of our solid business performance and outlook, robust cash generation and healthy capital levels, we are further enhancing our promise to shareholders by stepping up our capital return commitments by EUR 100 million with a EUR 50 million step up in our annual share buyback and a EUR 50 million increase in our dividend, above the regular progressive increase. As I mentioned, we have exceeded our key financial targets for 2025 with an OCG of EUR 2.1 billion, coming in well ahead of the targeted EUR 1.9 billion and our free cash flow slightly above the target of EUR 1.6 billion, a growth rate of 7% per annum for both metrics. These impressive numbers are further evidence of our ability to deliver on our business plans and a further testimony that we can drive profitable growth, which is good for all stakeholders. Our capital position has significantly improved as has the underlying quality of capital with several tail risks being addressed as pointed out on the slide. Annemiek will provide the details on our financials later. This strong business performance as well as comfortable cash and capital levels have allowed us to increase capital return by EUR 100 million above our typical progressive dividend, splitting this evenly between a step-up of the dividend and a higher annual share buyback. Consequently, we have increased the dividend per share with 13% to EUR 3.88 per share, increasing the base level for our continued progressive dividend policy. And we are stepping up our annual share buyback program by EUR 50 million to EUR 350 million. Today's increase marked a continuation of our outstanding track record of capital return to shareholders, having now returned over EUR 11 billion to shareholders since our IPO in 2014. We remain very committed to our capital return promise and to extend this strong track record, which is based on our current market capitalization, still implies an attractive future DPS growth of approximately 7% per annum. We continue to deliver value to our customers, employees and society at large. And with the Capital Markets Day, we have set new targets for 2028. Let me highlight a few. We aim for the customer satisfaction scores significantly above the market average and secure a position among the top 3 for broker satisfaction by 2028. Customer satisfaction has shown consistent improvement, especially in Europe where all units are above market average. Additionally, we, once again, affirmed our #1 position on satisfaction with the Dutch brokers who play a dominant role in the distribution of our products. We also aim to be an employer of choice where people enjoy to work with a diversified population. Furthermore, we aim to cut greenhouse gas emissions by 45% by 2030, invest over EUR 13 billion in climate solution and support 2.5 million people's well-being by 2028. As you can see, progress on all these targets is well on track. With the Capital Markets Day, we took a deep dive into our Future Ready program, our plan to position us for greater competitiveness and adaptability in a rapid evolving landscape. We focus on standardization, automation and reuse of AI with a clear focus to improve customer experience and growth. I'm proud to say we are making significant progress and happy to share that we are firmly on track with the new KPIs that we set at the Capital Markets Day. We now have 236 AI use cases in place and already 42% of our sales come from digital leads. From the EUR 200 million annual target benefits by 2027, we have 40% realized in our run rate for the end of 2025. Let me just highlight a few of these use cases behind these achievements. First, a breakthrough in claim processing. We can now process third-party car liability claims fully straight through. This enables us to deliver faster service with processing time decreasing from 1 to 3 days to a few minutes as well as reduce manual effort and improve customer satisfaction. And it builds on our existing AI modules and system integrations, it is scalable for other use cases as well. Second, we are now using AI-powered avatars to train and coach our tied agents, enabling them to practice complex customer scenarios. Data shows that following standardized scripts significantly boost conversion rates, and we are now scaling this across the more than 9,000 agents. The result is a higher sales conversion, improved agent retention through better support and increased customer satisfaction. Third, our new generative AI tool, AIReply. It drives high-quality e-mail responses using historic interactions and templates. This frees up time for customer service agents to focus on what matters most, delivering value to our customers. We are rolling it out across all Dutch business units with international outgrow to follow. And these are just a few highlights because there is much more to come. We show excellent commercial performance in our growth business, Insurance Europe, Japan and Netherlands Non-life. Our largest growth segment, Insurance Europe continues to show significant VNB growth with an increase of 16% versus 2024, with both higher sales volumes and increased margins play a part in this success. With the growth from 2025 included, new business in Europe has grown with an average of 12% annually over the last decade, clearly not incidental and showing that our strategy is reaping real benefits. Japan, our other international growth segment, continues its sales recovery with a significant 25% increase in new business value in 2025 versus '24. When comparing VNB year-on-year from Q2 onwards, the period since the launch of our new long-term savings product, we even see a 34% increase. Our market share has already been improving on the back of this performance. Going forward, we expect gradual sales recovery to continue, also driven by further product introductions. This will help VNB to recover to 2022 levels by '28, as outlined during our Capital Markets Day last year. Netherlands Non-Life witnessed solid commercial momentum with gross written premium up 6% on year, surpassing the landmark of EUR 4 billion for the first time. This was driven by both indexation and volume growth. While the overall combined ratio remained within the 91% to 93% target range at 92.9%, the combined ratio of P&C was excellent at 90.3%. And now I'd like to take a moment to highlight some of the business specifics for Europe and Netherlands Life. Our European business continued its impressive growth trajectory, and I'd quickly like to reemphasize our strategy. The focus is on a simple capital-light offering, favoring technical and fee income with a limited reliance on spread income. Our protection products have small ticket sizes, which makes these products accessible for a large pool of people who are increasingly aware of the usefulness of these products. With these small tickets, high-volume products, the key is getting in front of customers, and this is an area in which we excel. We have a multichannel distribution network, well balanced with tied agents, bancassurance, brokers and direct. The tied agents channel, in particular, is undergoing a digital transformation and is one of the key beneficiaries of the Future Ready program, as can be seen by the success of our digital reach generation. We took the decision to focus on protection more than a decade ago, and I am pleased to see how well that decision is paying off. With our presence in the highly underpenetrated markets, I have faith this trend can prove to be sustainable. Protection is the key pillar of our growth in Europe. But our pension offering is also a strong contributor. We're one of the leading providers of Pillar 2 and Pillar 3 pensions across Central and Eastern Europe, providing a source of AUM-based fee income, a business model with attractive operational leverage. And in 2025, this business model showed strong growth, also helped by financial markets in those regions. Moving on to a promising growth opportunity in our home market. We have a leading position in the Dutch immediate annuity market. Even in the new pension framework, it is mandatory that people convert their accrued pension investments into an annuity. This is an attractive market segment because margins are healthy, and we expect the reform to improve our growth prospects. In 2025, our gross inflow into immediate annuities was around EUR 0.8, up from EUR 0.5 billion in 2020, representing a CAGR of 10%. We expect these inflows to continue to grow, mainly fueled by the increasingly large DC pension funds. We expect to see a CAGR for immediate annuities of 10% to 15% going forward, leading to a potential gross inflow of EUR 1.4 billion in 2030. This growth was not immediately visible in the growth of AUM. I won't bore you with the details, but this line item also includes a legacy retail portfolio that runs off at about 10% per annum. This runoff will be largely completed by 2030, where we expect the immediate annuity portfolio to have reached EUR 10 billion in AUM. Together with the strong customer satisfaction, targeted pricing and our market-leading position in the overall DC market, we are confident in continuing this upward trajectory towards more than EUR 65 billion of AUM with an anticipated 15 to 20 basis points OCG margin by 2028. In conclusion, our investor proposition rests firmly on 3 core pillars. First, our business mix will continue to diversify over time where growth segments will become more dominant in our mix. Netherlands Life will also become a more capital-light business as the mix changes towards DC pensions. Second, with our Future Ready program, we continue to standardize and automate operations, improving efficiency and scalability across the group and at the same time, improving customer experience. Third, we remain fully committed to delivering on our capital return commitments. And with safe announcements, we have taken another significant step in strengthening those commitments. And with that, I will hand over to Annemiek.
Annemiek T. van Melick: Thank you, David, and good morning from my side to everyone listening in on the webcast. I'll begin with our excellent financial delivery of 2025. As you can see on Slide 14, our OCG is up 9% versus 2024, coming in at EUR 2.1 billion. It's a strong trend and testament to underlying business performance, whilst also benefiting from some nonstructural tailwinds. Free cash flow was up 7% versus last year with improved diversification as Netherlands Non-life, Europe and the bank increased contributions. The delivery on both metrics reinforces our confidence in the '28 OCG target of EUR 2.2 billion and our free cash flow target of above EUR 1.8 billion. Our solvency ratio is strong at 220%. And as David highlighted, it's a significantly better quality since we removed the unit-linked overhang and are less sensitive to market movements and longevity risk. Cash capital increased to EUR 1.8 billion, although this has since reduced somewhat to EUR 1.6 billion following the repayment of the remaining RT1 debt that was called during January. These elements combined have put us in a position to reward shareholders beyond our normal capital return promise. We further enhanced our structural capital return with EUR 100 million, equally divided between dividends and share buyback. As such, we present the year-on-year dividend per share increase of 13% and a EUR 50 million increase in the annual share buyback to EUR 350 million. Now let me give you some more insights into our capital progression. Looking at the capital bridge for the second half of 2025, strong operating capital generation of EUR 1.1 billion had a 13 percentage points to the solvency ratio, which is rounded 5 percentage points higher than the capital flows to shareholders in the form of dividend. Market variance increased the ratio by 7 percentage points, largely driven by the positive impact of interest rate movements, and decreasing spreads on government bonds and mortgages, partly offset by negative equity variance. Mortgage spreads at the end of December were around 75 bps. We've previously communicated a normalized through-the-cycle level of 100 bps. However, we currently see tight spreads across basically all asset classes and clearly, mortgages are no exception. The bucket other added 2 percentage points to the ratio. This is mainly due to an update in the way we calculate non-available own funds for Insurance Europe entities, which add up 4 to 5 percentage points. We brought our approach more in line with the market after noting a more conservative approach versus peers. This was partially offset by a number of our model and assumption changes. The solvency ratio of Life showed a strong increase from 200% to 233% as well. Our 3-pillar capital framework with a focus on: one, a Solvency II ratio comfort zone of 150% to 200%; two, EUR 0.5 billion to EUR 1.5 billion cash at the holding company; and three, a single A financial strength rating has not changed. With the current strong Solvency II ratio, it's fair to say that we're currently sustainably above 200% and that our binding constraint for capital return has now moved from solvency to cash at the holding company. Of course, this could change under adverse scenarios. Now let me give you some details on our high-quality private debt portfolio before moving into OCG. We're comfortable with our private debt portfolio, which is well diversified by industry and geographically focused on Western Europe with an exposure to the U.S. below 10%. Over half of the book is either collateralized or government guaranteed, around 60% is above investment grade, and there is no exposure to leveraged products. We put a lot of emphasis on manager selection. Our goal is to gradually build the right exposure, giving managers time to put the funds to work. Our enhanced oversight capabilities allow us to properly challenge the fund managers. One example of this is the sample testing that we perform on the credit ratings assigned to individual loans. So while the market has seen some isolated incidents on private credit exposure, we're confident that our credit exposure has a more conservative risk profile. And let's move to OCG. As already mentioned, our OCG came in at EUR 2.1 billion, up 9% versus last year. This reflects ongoing commercial and business success, driven by our growth segments, Europe, Japan and Netherlands Non-life. The strong underlying trend was further enhanced by some nonstructural elements. Netherlands Life's OCG grew by 13%, helped by an infliction in experience. Last year was negative, now it's positive and higher investment returns. The main moving part for Life into '26 is the likely absence of positive experience variances, so we would expect a modest decrease in OCG for '26. For Netherlands Non-life, which grew by 9% on a reported basis, we confirm an underlying rate of EUR 400 million for '25, from which we expect to grow with GDP plus going forward. Benign weather and the positive impact from reinsurance renewals were key reasons for Non-life to overachieve in '25. Europe's OCG grew by 13%. As David explained, increased sales and higher margins drove it, and we're very pleased with the overall performance. Due to favorable markets, our pension fund service also benefited from performance fees during '25. Sales recovery in Japan was strong and as such, has put some pressure on OCG as the current framework doesn't allow for deferred acquisition costs, as you know. However, Japan's OCG still grew by 8%, and this was more than offset by the benefits of a reinsurance transaction and favorable claims environment. For '26, we expect Japan to grow OCG benefiting from the move to ICS and continued new business growth. Lower OCG at the bank has a large [indiscernible] effect of NIM compression, which was only partly offset by one-offs. For '26, we expect a roughly stable OCG versus '25. With the above comments in mind, looking forward to '26, we expect the nonstructural positive contributions in '25 to be offset by underlying continued business growth, leading to a flat reported OCG. As such, we're well on the way to deliver on our '28 OCG target of EUR 2.2 billion in '28. Now a few words on operating results on Slide 18. Since we steer the business based on solvency metrics, I'll only concentrate on drivers that are different from the OCG analysis. Operating results were up 17%, largely driven by a sharp increase in Netherlands Life. Investment income benefited from the result on derivatives that fall outside of hedge accounting and higher dividends from private investments, especially the first item is rather technical and has no economic substance. Japan's operating result was down due to a decline in the in-force book. This dynamic should be temporary as new business is rebuilding after the new long-term savings products that we launched in March. Future profits on the IFRS are largely determined by the CSM level. Our organic CSM grew 2% in '25 with high single-digit growth from both Netherlands Non-life and Europe. Japan is now also contributing to CSM growth following its sales recovery. NN Group's net result decreased due to revaluations on derivatives outside hedge accounting used for hedging purposes. Bond sales and the final accounting results from the sales of Turkey. Now let's move to our cash capital position. Free cash flow slightly exceeded our '25 target and came in above EUR 1.6 billion in '25, up 7% versus last year. Although free cash flow is lumpy by nature, we expect it to grow year-on-year to our target of over EUR 1.8 billion in '28. Remittances from business segments were also up 7% and benefited from increased diversification as Insurance Europe, Netherlands Non-life and the bank all showed increased contributions. The bank benefited from additional remittance capacity due to the capital release from Basel IV. Other includes the impact of increased debt costs and approximately EUR 50 million of Future Ready investments. Capital flows of more than EUR 1.2 billion includes the payment of the final dividend over '24, the interim dividend over '25, and the EUR 300 million share back that has been executed over '25. The change in our debt and loans reflects the impact of the untendered grandfathered RT1 notes, which have been redeemed in January 2026. As such, a pro forma cash capital position per year end '25 was closer to EUR 1.6 billion. Now that we achieved our 2025 targets, our eyes are set on 2028 and our improved investor proposition. We've increased confidence to deliver on our 2028 targets, which will not only grow but also further improve and diversify our business. We're on track to grow our Dutch Non-life and International segments, and the strong business and financial results of Netherlands Life underscore our commitment of stable and predictable remittances until 2040. We're on track in creating a highly digitalized Future Ready platform and organization. We have a strong balance sheet to support these key pillars of our investment case. Based on this confidence, we enhanced our capital return proposition today with an additional EUR 100 million on top of our regular progressive dividend policy and annual share buyback. Going forward, we will continue to return additional excess capital to shareholders, unless it can be used for value-creating opportunities with a continued preference for small incremental steps rather than one-off lumpy returns. At our Capital Markets Day, we indicated EUR 1.5 billion of excess cash bill potential over the 4 years from 2025 to '28. With today's enhanced capital return announcement of EUR 100 million, we allocate more than EUR 400 million of this excess cash bill to shareholders. In order to improve future financial flexibility and manage debt costs, we intend not to refinance the EUR 600 million senior debt that was originally raised for the Delta Lloyd acquisition and is set to mature in 2027. Consequently, we expect the residual excess cash bill to be around EUR 500 million over 2025 to 2028, which can be used for value-accretive opportunities for further enhanced shareholder returns. Thank you all. And with this, I'd like to hand it back to David for the wrap-up.
David Knibbe: Yes. Thanks, Annemiek. I'm going to keep it short and punchy. We exceeded our 2025 targets. Capital is strong, our growth segments show excellent and continued commercial momentum, and we further enhanced capital return towards shareholders, and we are ready to continue this impressive track record. And with these remarks, I would like to open up the call for Q&A. Operator?
Operator: [Operator Instructions] and our first question today comes from the line of David Barma from Bank of America.
David Barma: Thank you for the 2026 capital generation guidance. I wanted to ask you about how disability fits into this. So could you please explain the deterioration in the second half of '25? How much of that was experienced compared to reserve adjustments maybe? And perhaps can you give some color on the measures you're taking in '26 to improve the combined ratio, and so how that is included in your flat OCG guidance for this year? Then secondly, on Japan. So your new business data really starting showing the relaunch from the second quarter. And you had mentioned NBV growth of 50% year-on-year in that quarter. The second half was strong but has slowed a little bit. Would you be able to talk about the sales trend there, please? And how that's tracking compared with your expectations?
David Knibbe: Yes. Thank you, David. Let me just say a couple of things on the combined ratio of the Non-life business, including D&A, and then Annemiek can fill in also the -- on the OCG guidance, and then we'll go to Japan. Yes, on overall, the combined ratio of Non-life, I think overall, it was in the range of 91% to 93%. It was 92.9%, a little bit better than [indiscernible]. Obviously, P&C was very strong, but disability stood out. And then good to know within the disability book, we are really talking about the disability part of the sickness here, which is the first 2 years of coverage that the book is actually doing well. What we have seen in this D&A book is that we've seen elevated inflows. I think partially, this is a long COVID. Partially, this is also a societal impact as an increase of mental health concerns. Unfortunately, we were -- the reporting of the government agency on this claim was relatively late. So that meant that also, we needed to take strong measures in '25 to catch up, and that's what we did. So we've been actively repricing. First of all, we've also increased the segmentation between sectors because we saw quite some differences also in sector performance. And probably most important, even though these are 3-year contracts, the vast majority now of contracts will have the ability to reprice every year. So once a year instead of every 3 years. Now this was combined with the strengthening of reserve. So all in all, we feel that these are strong measures that we have taken. Also, the solvency was not impacted there. So the remittance pattern will not be affected by this, by the development in the disability book. And we continue to guide 91% to 93%, as the right guidance of the combined ratio and clearly, we're on track to deliver on the EUR 475 million OCG target that we set for 2028.
Annemiek T. van Melick: Yes. On your question on how it impacts the '26 OCG forecast for Non-life, it doesn't, because the disability reserve strengthening doesn't flow through the OCG.
David Knibbe: Yes. Then on Japan. Well, developments are very positive. I mean the -- clearly, the VNB was up 25%. I think, I mean, if you correct for currency, it's more in the range of 30%. These are very good numbers. So what has basically been happening in the market is that the overall corporate life market was flat, the short-term market or more the -- tax-driven markets actually went down with 4%. And then the long-term market where we mostly operate grew with 10%. So clearly, we're doing well in this market. We also expect in this half year to introduce a new long-term product. So we have a unit-linked version out there, and we expect to launch also a more traditional product as well. So that means that next to the good protection product, a unit-linked product, we will also have a traditional life product in there. So that means that overall, yes, we're positive on the development. Japan is clearly on track to get to the targets that we have set. We initially said that we want to get back in '28 at the levels of VNB of 2022 which at that point was JPY 20 billion. And the business is clearly on track to deliver that, which is obviously a positive.
Operator: We will now take the next question, and the question comes from the line of Andrew Baker from Goldman Sachs.
Andrew Baker: The first one, just on the solvency ratio. Are you able to give a bit more detail on the change in non-available own funds methodology? And specifically, what changes you made to bring your methodology closer to peers? And then also what drove some of the offsetting model change impacts? And then secondly, in Netherlands Life, are you able to give us a sense of the impact of a steeper yield curve on OCG now versus maybe your expectations at the CMD? And also, if you are able to give us any type of sensitivity to yield curve steepening on OCG, that would be really appreciated.
David Knibbe: Yes. Thank you, Andrew. Annemiek?
Annemiek T. van Melick: On the non-available own funds. In our European business, we obviously have available own funds. We have solvency ratios that we actually statutory report in those businesses, but we cannot contribute all those available funds to the group, and that has to do with fungibility. We did some peer review also because the European business, obviously, is growing, and we don't like that buildup of nonavailable own funds from a group perspective. And we found out that we had a rather conservative approach there. Technically, if you would actually sell one of those businesses within 9 months, you would get part of those nonfunds obviously reimbursed, they typically relate to future expected profit. We've now brought that more in line with what our peers do, and that means that we had a solvency build -- additional solvency build of roughly 4 to 5 percentage points out of this nonavailable own funds change. It doesn't change the local solvency ratios because they already included that. It also doesn't change the remittance capacity, but it does prevent group solvency leakage. In terms of NN Life with the steeper yield curve, obviously, it was helpful for OCG of NN Life to have that -- steepen our yield curve. If you look at it going forward for the target, yes, it's a positive for '26, we would expect Life to be modestly below the '25 result that we had, and that mainly has to do with the absence of positive experience variances. We do recognize that the steeper curve, obviously, has a positive impact, but that's all market driven. So we're not going to change our target there for Life, but there could be some upside to it.
Operator: We will now take the next question, and the question comes from the line of Farooq Hanif from JPMorgan.
Farooq Hanif: When you talked about incremental step-up in capital return, you were referring in the path to the buyback, but you've also added to the dividend. Can you just comment on whether the dividend is now part of the toolkit for incremental step-up, given the amount of surplus cash that you've just indicated to us? And my second question is on the VNB. So the VNB, from what I can see, I mean you had a really big jump in margin in Netherlands Life and Insurance Europe, which I'm guessing is mix -- business mix improving. Can you talk about how that can continue to improve going forward? And also in Japan, as you're launching these new products, whether you also expect a VNB margin uplift as well as just the sales uplift?
David Knibbe: Yes. Thank you, Farooq. Yes, on the capital, the capital return increased thinking. So obviously, we have continued strong business performance. As Annemiek explained, the cash levels are good and capital levels are strong, also our confidence in the business outlook is positive, and that's why we decided to enhance our capital return. And we indeed decided to do that by splitting this evenly between dividends and an annual share buyback. We think that the EUR 50 million extra dividend and the anticipated buyback step-up is a good balance also between shareholder remuneration and deleveraging. Typically, we see that a higher dividend, obviously, it compounds over time and the market sees it as the most structural form of dividend. I think your question is also -- so that was in our thinking. I think your question is also going forward. So our capital framework hasn't changed. We have always indicated that solvency being above 200%. If that happens, then the binding constraint moves to cash, which is where we are today. And we also said our cash, on the cash side, we expect a buildup of EUR 300 million to EUR 400 million per year. So from that point of view, we do expect that we can further enhance capital return in the medium term, but it will continue to have a focus on small incremental steps.
Farooq Hanif: Just quickly, if I may, with respect. I think my question was more about the sort of level of the incremental step-up. I think we sort of had a feeling that it will be EUR 50 million a year, but it was EUR 100 million this year, if you know what I mean. And that's kind of what my question was more about.
David Knibbe: Sorry, your question was more about EUR 100 million versus EUR 50 million?
Farooq Hanif: Yes.
David Knibbe: Yes. Well, to be honest, I don't have much to add to it. I think the -- we always said we like incremental, we like that if we do something that we can do it recurring, we want to avoid lumpy buybacks. And like I said, given the strong business performance, our belief in -- that we can continue this given where cash and capital levels are, we felt that EUR 100 million is also the right step, given our focus on that it should not only be incremental but also recurring. Yes, on VNB. Well, I mean, there's a lot of parts moving, obviously, always in VNB. We've seen actually the VNB of Life coming down a bit, but this is normal because we have less defined benefit renewals, in fact -- ahead. So with the shift to DC over time, you will see that these defined benefit renewals will completely disappear, and the shift will be really to the DC space where we measure it in net inflow. So I think that is one dynamic. If you look within and in Life, actually, the margins in terms of the riders and the disability parts that are still part of and continue to be in VNB is there, the margin is positive. We also -- I already mentioned that the immediate annuity market continues to be an attractive market for us. We look at capital deployment, and this is an attractive market for us to deploy capital in. We did around EUR 800 million. We expect that market to grow 10% to 15%. It's already growing around 10%. But with the effect of the pension reform, we actually expect a bit more of a step-up. So we do expect that we can continue to make attractive margins there. In Europe, it's really a combination of the APE that is going up, but also our focus on protection. Protection continues to have very attractive margins. And we do expect also going forward that we can maintain those -- that we can maintain those attractive margins because of our strong distribution and as I was saying earlier, the ability, it's not just around the product, but it's also the ability to have the right distribution channels to actually get customers to talk about this. So for Europe, yes, we continue to believe that we can grow the VNB on the back of both volume and while keeping a healthy margin. Japan, again, also attractive margins. There, we also see that the volume is up, and we've moved from what we call the short-term COLI to the unit linked, which is more the long-term market, which also has a higher margin. The traditional products typically tend to have a little bit lower margin, but also is still attractive. So going forward, I think also for Japan, it will apply that there is still an underserved market. There's still a lot of SME owners out there. It's a big market that are under protected. So we continue to see the opportunity to grow both in volume and in margin also for Japan and a new product launch next to the repricing that we did of the protection product and the unit-linked product that we launched before summer. The combination of that should give a good platform for the growth of Japan, and we still aim to be in the top 3, top 4 back again in that market in the coming years.
Operator: Your next question comes from the line of Iain Pearce from BNP Paribas.
Iain Pearce: The first one is just on the capital structure. So with the paydown of the RT1 and then the further EUR 600 million deleveraging and then assumes capital build, CSM build, the leverage looks like it's going to come down quite a lot. Just wondering why you want to sort of adjust the leverage picture and sort of if you view that as a more normal capital structure going forward? The second one was just on Japan. You said you've done a reinsurance deal in Japan. I'm just wondering if you could give some more detail on what that reinsurance deal is, if there's any sort of benefit to remittance on that or capital strain, just trying to think, and is there an optionality to do more of that on the reinsurance side in Japan? And if I could just ask a very quick third one. Just on the cash and capital now being finally constrained, cash capital at holding. In terms of where that target sits, I think in the past, you've sort of spoken debt holding costs, dividend cost buyback cost plus 1 in 20 shops. I mean with NN Life solvency being so strong, what sort of number should we be thinking about that? Is it the sort of EUR 1.6 billion, EUR 1.7 billion, the right number to be thinking about?
David Knibbe: Well, thank you, Iain. Unfortunately for me, these are all for Annemiek.
Annemiek T. van Melick: On your first question on leverage, listen, the EUR 600 million senior note that we intend not to refinance this senior one, that was really -- that was tied to the Delta Lloyd acquisition. It was done at historically low rates and not refinancing it in '27 just saves us probably EUR 15 million or something. It doesn't materially lower our leverage ratio. And it's currently around 17% -- slightly over 17%, and will go to around 16%, if you already deduct the RT1 notes. So it doesn't materially impact that. And if you look at the -- if you remember, at the Capital Markets Day and what I also said in the presentation, our cash build is roughly EUR 1.5 billion in the next 4 years until '28. And with today's announcement, we said we do the EUR 100 million additional capital return, EUR 400 million in total, then we have the EUR 600 million deleveraging and that then leaves another EUR 500 million in excess cash build. So it's not that we were unhappy with the leverage structure. It's just we don't need the cash, and it was tied to the Delta Lloyd acquisition on a historical rate. On NN Re, it was a small reinsurance transaction we did -- sorry, on Japan, it was a small reinsurance transaction on the in-force book and the short-term COLI that we did. In general, we've been doing reinsurance transactions on Japan frequently over the last couple of years, and we'll continue to look at it. It doesn't change the remittance forecast that we have on Japan. Cash capital, we've indeed always said that we hold cash capital to cover our holding costs, to cover debt cost, and we need to sustain a 1 in 20 shock for all the business units that we have. Typically, that number varies between EUR 0.5 billion and EUR 1.5 billion, and that's still the case for the guidance that we have on cash capital.
Operator: We will now go to the next question, and your next question today comes from the line of Michael Huttner from Berenberg.
Michael Huttner: Fantastic. And congratulations. I have one on Life and the other one, I'm kind of hesitating. I guess I'll ask it on AI because it's kind of topical. So on Life, I would say, you're not shrinking, you're growing. And your comments today seem -- this is NN Life, it seem to indicate that with the new figures you've given us on the immediate annuities. Can you kind of flesh that out a little bit? I mean, if I give you the way I'm looking at it, you might say, well, actually you're wrong or this is right. So if I add the DC assets to the Life reserves, this is in your financial supplement, year-end '24, we had EUR 148 billion, year-end '25, we're at EUR 146 billion, EUR 147 billion. So that's a shrinkage of maybe 1% or something. And I think in the past, you've said shrinkage of 2%, but it feels like we're no longer really shrinking and you kind of alluded to the benefit of the Dutch pension reform coming through, even though you haven't kind of focused so much as some of your peers on pension buyouts. So I just wondered why don't you raise your targets in Life because the business is clearly doing fantastic. I mean, just a solvency of 223% is amazing. So that's -- sorry for the long question. And the other one is really kind of almost stupid, but because it's so topical. So you gave us these lovely use cases in AI. Could you just say which one is a single biggest thing? My feeling from the way you've been kind of approaching the topic on protection is, it is coming from the fact that your agents are so much more productive once they've been trained with avatars or AI or whatever. If you could give us a feel, that would be magic because clearly, if you can accelerate protection growth, that's a big plus.
David Knibbe: Yes. Thank you, Michael. Yes, on Life or NN Life, there is obviously competing things. So the closed book still runs off and earlier, we said it still runs off at around 2%. And that is on the back of basically retail but especially defined benefit books slowly running off. At the same time, you're right that we do see good growth in DC. Of course, the dynamics are very different from big spread business and capital heavy runoff to growth of lighter. We set a target of EUR 55 billion AUM for the DC business, EUR 10 billion in annuities, and annuity is attractive. We haven't assumed any buyouts in that. So we do think that DC assets indeed will grow, immediate annuities 10% to 15%, we can make 10 to 15 basis points over this AUM. So that's clearly a plus, and then some of it is one-off. I think for Life for us, it's always been important that stable remittance is very key for us. And also at the CMD, we indicated that we can maintain a stable remittance pattern out of NN Life. So even if OCG goes up a bit, which it has, or it comes down a bit, we will continue to focus on keeping stable remittances out of NN Life and offsetting the let's say, the slow runoff of DB with growth in DC. So from that point of view, yes, happy to see that NN Life is doing well, but there's not a change in the approach or in the guidance here. Yes. On AI, I think even though we talk a lot about what we say, use cases. So we mean a use case, obviously, is where we have something AI that is really deployed usually in our operations. But the real game, of course, is scaling. So what is very cool, I think about the tied agents is that we see things that are developed in Poland or in Madrid. And then we have the ability to scale that to other markets. And this is a clear advantage of having a multi-country, multiunit platform that if you develop it once, it is with AI and certainly now on the language, it's really easy to scale this across other markets. So probably a very big one right now is the tied agents, you're right, the 42% of growth, and it's not just the lead generation, it's the AI avatar that we have to coach our agents. It's the connecting AI using connecting the agent to the right customers. So there's a lot of individual AI use cases there and the fact that it's scalable across our 7 tied agent markets is very helpful. But I also mentioned the claim handling part for Non-life, you can imagine that once you have an agentic AI claim handling module life, you can also scale that to European markets where we do a lot of protection business. And protection, of course, also has a claim handling, same for underwriting. So we now are focusing on trying to get to a 50% automated full underwriting in the retail space in the Netherlands. Again, we do lots of underwriting in the European markets and vice versa. So my real expectation is that we should only develop AI use cases that are scalable, right? Because we trained everybody, a lot of initiatives come out of the company. And actually, we've been, in a way, almost slowing down the company because we don't want these -- all these small individual cases, we really want scalable cases that we can at least scale and we say scale means at least in 3 markets. So at least in 3 countries or 3 units, it should be deployable, and then we develop it. And so today, it's probably tied agents. Over time, claim handling, underwriting, customer service. I see in all these areas, some real scaling opportunities.
Operator: We will now take the next question, and the next question comes from the line of Michele Ballatore from KBW.
Michele Ballatore: Yes. So I have two questions. So the first question is about the Non-life, in particular about property and casualty. In terms of the pricing environment, what are your observations going into 2026? Any sign of softening? I mean anything you can add to this? And the second question is about the capital. So with EUR 500 million of available, let's say, capital cash beyond the distribution, if we think about, let's say, inorganic growth, I mean if we think about the businesses that you have where your organic -- the pace of the organic growth is satisfying and businesses where you say, well, I mean, some M&A there, some inorganic growth, some action could be beneficial. So can you talk a little bit about your preference there?
David Knibbe: Yes. Thank you, Michele. I think on pricing Non-life, well, we've done a lot. And within P&C, you see very different trends. Motor, I would say, trouble always starts in motor and especially in retail. So we've done a significant premium increases in the past year. Our expectation is that we will probably see a mid-single digit depending a bit on the book, high single-digit premium increase. And this is simply also keeping up with inflation of claim cost and other liability costs. But we do think that the bigger premium increases are behind us, but we will continue to have to increase premiums to keep up with claim inflation. In terms of dynamics, retail motor, always competitive. We might lose some market share. Motor is 25% of our book. It's -- generally, we're underweighted anyway in motor, and we don't mind. We continue to prioritize margin over volume even though, again, I don't think we will be expecting major increases in motor. I think fire, but also the other books around travel liabilities, a different dynamic, combined ratios are very low. It's a very attractive business. So there also, we are doing less premium increases simply because the portfolio is holding up well. We also want to maintain our competitiveness, and this is the core of our P&C book. So overall, I expect a relatively good environment for P&C as we have seen in the last year, even though, again, we have to state that we didn't see any fires or -- well, we saw fires, but not very large fires. We didn't have very large storms. So the P&C results also on the fire side were a bit helped by favorable weather. Overall, I still think it's a good environment that we -- even if we would lose some market share, we continue to prioritize margin over volume. But we don't think it's needed. The business grew 6% and 2% was also volume growth here. Yes, I think on available cash, obviously, we still need to build all these -- and when we talked about the EUR 1.5 billion, we still need to build the EUR 500 million in cash. But you're right, we do have financial flexibility. But if you look at inorganic, it has been a challenging market. And we continue to see that there's more buyers and sellers, there haven't been that many transactions, certainly not cross-border. We are very happy with our organic growth path. We said 7% to 8% or 7% CAGR, we think is very attractive. Our businesses are growing well. If we see an opportunity for M&A, we have a very strict financial and strategic criteria. We are actually proud of our track record in M&A. But that also means that we need to be very careful in embarking on M&A unless we have a high conviction on both the financials and the strategic merit. If these opportunities will come, we will certainly take a look at it, but we're also happy to continue on the organic growth path that we have been doing.
Michele Ballatore: If I may, my question was about more like the preference in terms of, if you have to do something, what businesses you will target?
David Knibbe: Well, I'm not sure we have to do anything. I mean, what we have to do is deliver on our targets that we set for '28. And we said that we've set our free cash flow and OCG target. We also said that the 7% to 8% CAGR per share is what we've been aiming for. So that is what we focused on. Anything, any opportunities that would come on top of that in terms of inorganic would also mean that, that would have to add to the targets that we have already set. So from that point of view, it is more opportunistic. If something very attractive comes along, that would be interesting. But our first priority is just to deliver on our targets and deliver on the capital return commitments that we have given at our Capital Markets Day in 2025.
Operator: We will now go to the next question, and the question comes from the line of Nasib Ahmed from UBS. I'm not sure if Nasib can hear us. I will move on to the next question. One moment, please. And your next question comes from the line of Thomas Bateman from Mediobanca.
Thomas Bateman: [indiscernible] great results. It's great to hear the conversation so much about growth as well. Could you just comment a little bit on the strategy in Greece? I don't want to say too much, but I guess I've observed some movements in the banks there. So any comment you can give on your strategy there would be interesting. And then the second question is just on government bond volatility in Japan. It seems a little bit immaterial now, so you've got solvency at 220%. But has there been any impact in solvency from Japan year-to-date? And is that tied at all to the realized losses on bonds that you've done in the year? And if not, maybe can you just give a little bit of color on those realized losses?
David Knibbe: Yes. Thank you, Thomas. Yes, on Greece. So obviously, there have been developments with Piraeus acquiring Ethniki. When we set our targets, we already took this into account. So we obviously expect to deliver our 2028 target for Europe, irrespective of these potential changes in Greece. Having said that specifically for Greece, I mean bancassurance is an important channel. So that would have an impact on our business. Today, we see a very strong performance still from Piraeus in '26, and potentially, we also expect that in '27. It is important to point out that this is not our only distribution channel in Greece. We have a very strong and growing tied agent network. That network was also further strengthened with the acquisition of MetLife. We see today that the digital -- the [indiscernible] Michael already asked on the use cases around tied agents, but that's still relatively low in Greece. And we see opportunities for further digital leads, the avatar training and some of the other things that we can still roll out in Greece. There's a potential development of the broker market and some of the direct business. So we do see opportunities also to further scale. Tied agents grew also with 30% already last year in VNB. And so that will also be important going forward that we continue to strengthen also other channels. But the key message is that when we set these targets, we took already this change into account. Annemiek?
Annemiek T. van Melick: Your question on government bond volatility in Japan, they are less relevant for solvency, but higher yields, obviously helped VNB and OCG in Japan. Obviously, higher interest rates could have some volatility on the solvency, but the solvency in Japan under the current regime is very strong also versus peers, and we would expect it to be the same under the new regime there. So the realized losses that you see in the nonoperating items of the IFRS result that we called out there, they are not related to any bond [ resales ] or losses in -- of sales in Japan. They were more related to some government bond sales that the Dutch Life company did, actually some sales of U.S. bonds given that under the Solvency 2020 regime, for us, it's just more attractive to hold long-term euro-denominated bonds. And as far as those realized losses, they are concerned, they obviously were already included in the shareholders' equity via OCI, but now we just have to take them in a nonoperating item.
Operator: We will now go to our next question, and the question comes from Nasib Ahmed from UBS.
Nasib Ahmed: I've got a clarification first off. Annemiek, you said there's a reduction in the leakage from the own funds eligibility change. I remember you had a 1 point leakage every year on the solvency. Does that go away now with that change? And I guess my 2 questions are, I think you've got a German business as well. How is that going? Is there capacity to increase exposure there? And then finally, on Japan, what does high yields mean for new business lapses? I think you mentioned kind of solvency, but investment returns is higher yields actually negative for lapses, people switching out of these savings products into other products. So just trying to get a sense of that as well.
David Knibbe: Yes. Thank you, Nasib. I'm glad you made it. Yes. So let me just start with the German business, and then Annemiek can take the questions on the other ones. Yes. So we entered into Germany, mostly on what we call mandated agent business. It's still relatively small, but it is attractive. So today, the business is performing well. At the same time, growing in Non-life or especially in P&C, always you need to be careful. But it is, so far, it is screening as an attractive opportunity. And it is -- the business is on a growth path today, and that's also in our plans. Annemiek?
Annemiek T. van Melick: Yes, your question on the leakage from the non-available own funds change that indeed will go largely away. And your question on the higher yields for the Japanese business, it is indeed helpful given that the embedded fixed guarantee rate of -- in the COLI products.
David Knibbe: Yes. Well, with that, we will now close the call. Well, thank you very much, and thank you very much for everybody on the call for the interest you've shown and all the interesting questions that you asked. And obviously, we look forward to continue to engage with you on the upcoming roadshows and conferences, and have a nice day.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.